Company Representatives: Lester Brafman - Chief Executive Officer Joe Pooler - Chief Financial Officer
Operator: Good morning ladies and gentlemen, and welcome to the Cohen & Company, Second Quarter 2021 Earnings Call. My name is Leo and I will be your operator for today. Before we begin, Cohen & Company would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under the applicable securities laws. These statements may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in such forward-looking statements.  The forward-looking statements made during this call are made only as of the date of the call, and the company undertakes no obligation to update such forward-looking statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements and its earnings release, and the most recent annual report on Form 10-K filed with the SEC. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company. 
Lester Brafman: Thank you, Leo, and thank you everybody for joining us for our second quarter 2021 earnings call. With me on the call is Joe Pooler, our CFO.  Our strategic initiatives and asset management SPACs and Gestational repo trading continue to favorably impact our results. Although our second quarter revenue was impacted by a negative mark-to-market adjustments on the company's principal investments. Two sponsors in which we have equity method investment, closely related business combinations generate $5.5 million of income for the company during the quarter.  Our investment banking pipeline is picking up, and we recently hired a group of experienced professionals to launch a commercial real-estate origination in the securitization business. In addition, we are pleased to announce the reinstatement of the quarterly cash dividend which will allow us to return capital to our shareholders, while continuing to invest in the company's growth initiatives. We continue to believe that the initiatives underway will generate long term value for our shareholders and we remain focused on enhancing stockholder value.  Now I'll turn the call over to Joe to walk through this quarter's financial highlights in more detail. 
Joe Pooler : Thank you, Lester. We'll start with our statement of operations. Our net income attributable to Cohen & Company Inc. shareholders was $1.7 million for the quarter or $1.21 per fully diluted share, compared to $9.4 million for the prior quarter or $6.98 per fully diluted share and $900.000 for the prior year quarter or $0.69 per diluted share.  Our adjusted pre-tax income was $3.7 million for the quarter compared to $37.6 million for the period quarter and $4.4 million for the prior year quarter. Note that adjusted pre-tax income is not a measure recognized under U.S. Generally Accepted Accounting Principles. See our disclosures, calculations and reconciliations surrounding adjusted pre-tax income in our earnings release.  The changes in our second quarter 2021 earnings measurements and revenues compared to first quarter 2021 were significantly impacted by the closing of our second sponsored SPAC business combination in the first quarter, the Metromile Insurance SPAC II merger which closed in February of ‘21.  Net trading revenue came in at $18.4 million in the second quarter, down $800,000 from the first quarter and down $1.6 million from the second quarter of ’20. The decreases were primarily the result of decreased trading from our wholesale, corporate and in GCF Repo Trading Groups. On a favorable note our Gestational repo revenue continued to grow with quarterly revenue of $11.8 million on quarter ending repo balances of $3.8 billion.  Second quarter 2021 principal transactions and other revenue was negative $11 million, which included $12.8 million of negative revenue related to mark-to-market principal transaction losses on Metromile stock. Note that this $12.8 million of negative principal transactions revenue in the current quarter is offset by a $9 million credit recorded in the net loss attributable to the non-convertible, non-controlling interest line item. As the consolidated subsidiary where the unfavorable mark-to-market losses were recorded had non-controlling interests which have been allocated approximately 70% of the negative mark-to-market.  By the end of the quarter the related consolidated subsidiary had become wholly owned and the non-controlling interests have received via distribution, their allocated shares of Metromile. As a reminder, the merger between Metromile and the company's second sponsored insurance SPAC closed in February 21 and generated $73.2 million of principal transactions revenue in the first quarter.  Principal transactions revenue includes all gains and losses and income earned on or our $66.7 million investment portfolio, classified as other investments at fair value on our balance sheet. This investment portfolio has increased recently due to our SPAC portfolio growing, as our SPAC franchise expands. The investment portfolio includes $22.2 million of Metromile stock at June 30 and the portfolio also includes $16 million of shift stock at June 30.  Of the $22.2 million of Metromile stock, all $22.2 million is currently restricted from sale in accordance with the terms we've disclosed in previous filings and of the $16 million of shift stock, $13.8 million is currently restricted from sale in accordance with terms we’ve previously disclosed.  Compensation and benefits expense for the second quarter of ‘21 was $14.2 million. Compensation as a percentage of revenue was 141% in the quarter. This high percentage was substantially impacted by the $12.8 million in negative mark-to-market adjustments related to Metromile. Again, a reminder 70% [ph] back in the net loss attributable to the non-convertible, non-controlling interests.  The number of Cohen employees at the end of June was 109 compared to 98 at the end of March and 94 at the end of the prior year June. Net interest expense for the quarter was $1.8 million including $652,000 on our two trust preferred debt instruments, $588,000 on our senior notes, $476,000 on our redeemable financial instruments and $66,000 on our credit line. In the first quarter of ‘21 we repaid in full the remaining $4 million redeemable finance drawn instruments supporting our GCF repo business.  In the second quarter of ‘21 other non-operating income was $2.1 million, which represents the forgiveness of 98% of our Paycheck Protection Program loan that was funded in May of ‘20 and forgiven by the SBA in June of ‘21.  Income from equity method affiliates during the quarter totaled $5.5 million, which was primarily driven by income from our equity method investments in the sponsors of two SPACs which closed their business combinations during the second quarter ‘21. The increased value of the founder shares held by the sponsors of these two SPACs of which we are entitled to an allocation from the sponsors generated $5.5 million of income from equity method investments in the second quarter.  In summary, despite a quarterly revenue of only $10.1 million, which was driven down by the $12.8 million gross negative mark-to-market on our consolidated SPACs sponsors Metromile position, below the line income and credit from three items in particular allowed us to generate positive earnings, namely the non-controlling interest $9 million share of the negative $12.8 million of revenue, the $5.5 million of income on equity method investments related to the founder shares and our $2.1 million PPP loan forgiveness, other income line item. So these items collectively helped us to generate positive net income attributable to Cohen & Company Inc., shareholders and positive adjusted pretax income, $1.7 million and $3.7 million respectively.  In terms of our balance sheet at the end of the quarter, total equity was $126.4 million, compared to $101.4 million at the end of the year. The non-convertible, non-controlling interest component of total equity was $7.7 million at the end of the quarter and $27.8 million at the end of year. Thus the total equity excluding the non-convertible, non-controlling interest was $118.8 million at the end of the quarter, a $45.1 million increase from $73.6 million at the end of the year.  Consolidated corporate indebtedness was carried at $45.4 million and our redeemable financial instruments were carried at $8 million. We've declared a dividend of $0.25 per share, which will be payable on August 27 of ‘21 to stockholders of record on August 13. The Board of Directors will continue to evaluate the dividend policy each quarter and future decisions regarding dividends may be impacted by quarterly operating results and the company's capital needs.  With that, I will turn it back over the Lester. 
Lester Brafman: Thank you, Joe, and thank you all for joining our call today. Please direct any offline investor questions to Joe Pooler at (215) 701-8952 or via email at investorrelations@cohencompany.com. The contact information can also be found at the bottom of our earnings release.  Operator, you can now open the call lines for questions and thank you all for joining us today. 
Operator:
Lester Brafman: Okay great. Thanks guys for joining the call today, and we look forward to speaking to you next quarter. Have a good day! 
Operator: This does conclude today's conference. You may now disconnect your lines and everyone have a good day.